Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Sherritt International Second Quarter 2021 Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. I would like to remind everyone that this conference call is being recorded today, Friday, July 30, 2021, at 10 a.m. Eastern Standard Time. I will now turn the presentation over to Joe Racanelli, Director of Investor Relations. Please go ahead, sir.
Joe Racanelli: Good morning. Thank you, Julie and good morning everyone. Before we begin, I'd like to point out a couple of items. First off, we released our financial results last night, and the full copies of our press release, MD&A, and financial statements are available from our website as well as from SEDAR. We will be making use of a presentation this morning.. A copy of which can be found via the IR section of our website. And we will also be making forward-looking statements today. And the details of the risks and uncertainties of those are outlined on page three of our presentation. 
Leon Binedell: Thank you, Joe. Good morning everyone, and thank you for joining us today. As Joe mentioned, I was appointed as CEO of Sherritt at the beginning of June. And I'm delighted to be with you today. My first quarterly result co  with our investors. I've had the opportunity to meet the number of you over the past month, and I do look for to meeting a number of other investors in the coming months following this co. We had a strong quarter. Our second quarter operational and financial results bolt-on momentum we established with the close of our balance sheet initiative last year. This momentum is most visible if we review some key metrics. We increased on the nickel and cobalt production by 2% and 12% respectively, which are good result. We grew adjusted EBITDA by 114% to $18 million, despite the significant rise in input cost tied to commodity prices, and $7.3 million of expenses relating to a 10% workforce reduction in our corporate office and the departure of sub senior executives. We received $14 million in distributions from the Moa JV for our 50% share of the dividends indicative of improved market condition, and received another $14 million that was redirected by our JV partner to fund Energas operation. Our financial results were driven largely by high nickel and cobalt prices, a trend that we expect will continue in the near term, as well as in the longer term as we transition to a more sustainable energy future. With respect to the overdue receivables, we experience the variability that we anticipated and discussed in our last conference call. Despite the impact of COVID-19 pandemic and U.S. sanctions on Cuba's economy, we were able to collect US$5.8 million from our Cuban Energy partners. We will comment on the situation in Cuba and expectations around the receivables later during this call. I'll also provide an outlook and talk about some recent developments towards end of this call. But first, I would like to hand over the call to Steve Wood, our Chief Operating Officer to discuss our positive operating results for the quarter. Steve?
Steve Wood: Thank you, Leon, and good morning everyone. I'd like to start my discussion as we normally do in our internal meetings with the safety share. We've devoted considerable efforts over the past several years to fostering an environment where best practices for employee health and safety are employed. This has resulted in regularly ranking in the lowest quartile of benchmark peer set data. And we've continued this trend in the second quarter of 2021 when we had a total recordable injury rate of 0.26 and lost time incident rate of 0.14 and these compared to 0.26 and 0.09 respectively for the same period of 2020. The numbers are good relative to our peers and we continue to drive towards zero. I'll now turn to slide six. Like many other mining companies that Sherritt has been deeply committed to environmental, social and governance matters over the years. In Q2, we upgraded our ESG targets to strengthen our commitment over both the near and longer-term. Our target, some of which you can see on slide six, transcend a number of categories including employee health and safety, climate and diversity and inclusion. Most notable amongst our target is the commitment to achieving net zero greenhouse gas emissions by 2050. Other targets include obtaining 15% of our energy requirements from renewable sources and doubling the percentage of women in our workforce by 2030. I should make it clear that we aim to upgrade our ESG targets in step with technological and other developments in the future. The full list of our targets will be published in our 2020 Sustainability Report, which is slated for release in September. Turning now to our production results for the quarter, starting with the Moa JV on slide seven. You'll see that on a 50% basis the Moa JV produced 4 230 tons of finished nickel and 476 tons of finished cobalt in Q2. These totals represent increases of 2% and 12% respectively from the comparable period in 2020. This growth was attributable to a number of factors, most notably we had higher mixed sulphides availability and improved refinery reliability relative to last year. Cobalt production also grew in the second quarter, because of the higher cobalt to nickel ratio in the mixed sulphide speed relative to last year. I would like to remind everyone that Q3 will be impacted by a full quarter -- sorry, full facility shutdown that is expected to last approximately 11 days. This full shutdown is done every six years. And we've been able to extend this interval because of our efforts on asset management and operational excellence. The planned maintenance shutdown was taken into account when we issued our guidance for the year. Based on performance through June 30th, we want to reiterate our guidance for production NDCC and planned capital spend at the Moa JV.
Nathan Reeve: Thank you, Steve, and good morning everyone. I would like to begin my remarks for the discussion of our adjusted EBITDA performance in Q2. Even though this is a non-GAAP measure adjusted EBITDA provides a strong indicator of our performance.
Leon Binedell: Thank you, Nathan. Before turning to the outlook for nickel markets and opportunities for growth from our technologies business, I'd like to spend a few moments reviewing the recent developments in Cuba and putting these into perspective.
Operator: Thank you. . Your first question comes from Don DeMarco from National Bank Financial. Please go ahead. Your line is open.
Don DeMarco: Thank you, operator and good morning gentlemen. First question about the acid plant and costs. So the acid plants now operational. But as it was -- while it was down you had to purchase sulfuric acid. Can you quantify the impact on Q2 NDCC of having to purchase that sulfuric acid? Of course, this could be a tailwind for Q3. So I'm just trying to understand what magnitude that might be?
Leon Binedell: Don, we don't have that number readily at hand, but we will get back to you with that shortly. But as you rightly pointed out, we do not anticipate the costs associated with purchasing of acid to occur. And the acid plant is only scheduled to be maintained every 24 to 30 months. And therefore there's a prolonged period of time where we won't see this reoccur in our operating cost.
Don DeMarco: Okay. That's helpful. Could you walk us through the $14 million of redirected distributions to Energas?
Nathan Reeve: Sure. I think the way to look at this is that the prevailing nickel and cobalt prices are very positive and therefore has created the ability for the Moa Joint Venture to redirect US$14 million of dividends paid to our joint venture partner. That redirection was applied to Energas given liquidity constraints that Energas had experienced broadly in line with the foreign currency challenges that Cuba has experienced. We believe that Energas is now fully financed and that its liquidity requirements are suitably met. And that any future redirections or future contributions from the Cuban partners and from Cuba will be directed towards Sherritt.
Don DeMarco: Okay, great. Yes. So Leon, in this new role as CEO, I see maybe perhaps a subtle changes to strategy such as increased emphasis on the technologies group and innovations at Sherritt. But is that true? And do you expect to make any other strategic shifts now that you've been in the role now for some time? And -- or will you wait for a period of time before -- for making any more significant decisions?
Leon Binedell: At this stage, what we're looking at capitalizing on is the significant advancement of the technologies that we have mentioned. We believe that there is a significant market for those opportunities and that those will present a significant benefit to Sherritt and its shareholders, and therefore are prioritizing the commercialization of those technologies. At the same time, we're also looking at identified near-term Brownfield's expansion within the Moa Joint Venture to try and capitalize on the low cost of capital per output that that will provide for us and seek to capitalize on those opportunities. And then more broadly, when we look at the momentum in the market and the move towards electric vehicles and the expected prolonged support in the demand of nickel and cobalt in particular, we are also actively seeking to understand what opportunities the market may present for us and what Sherritt can bring to those opportunities in terms of synergies. So, we're looking at those opportunities for growth. In terms of the oil business, we're still seeking to find an earning partner. And there's no change in strategy there that we are not looking to invest additional capital into that opportunity at this point in time.
Don DeMarco: Okay. That's all for me. Thanks again.
Leon Binedell: Thank you, Don.
Operator: Your next question comes from Gregory Barnes from TD Securities. Please go ahead. Your line is open.
Gregory Barnes: Thank you. Leon, I think this is the first time in a very long time I've heard Sherritt talk about possible brownfield expansions of Moa. And you've mentioned one in the MD&A about the slow prep plant. But what other things are you looking at? And what do you think Moa can do?
Leon Binedell: We've done some engineering and analysis in the past. And there's been some historical attempts at growth if you will. Where we stand today? We understand really a de-bottlenecking strategy of what the options are available to us given available capital. So, for any sort of step change if you will, we understand what the capital requirements are both at Moa in Cuba as well as at the Fort site in order to capitalize on those. We're busy going through a process of determining what the most sensible cut off is for the next stage of expansion. And once we have alignment with our joint venture partner on that we will be able to articulate that. But the low capital cost opportunities in the near term are more incremental growth opportunities. Broader brownfield expansions are on a little bit further dated, but we are looking at those opportunities as well.
Gregory Barnes: So de-bottlenecking, Leon and like the slow prep plant and things like that, where you could add 5% production capacity something like that -- something in the order of that? I don't know. Just throwing numbers around.
Leon Binedell: Yes. We're looking at growing sort of 5% to 10% range.
Gregory Barnes: Okay, great. That's it for me. Thanks.
Leon Binedell: Thank you, Greg.
Operator: Your next question comes from Tony Robson from Global Mining Research. Please go ahead. Your line is open.
Tony Robson: Thank you. Good morning and thank you for taking my question. Leon, the outlooks to be a fairly messy quarter three for unit costs. How do we think about costs, say into 2022? If oil prices stay where they are and gas prices stay where they are other than maintenance issues, should we expect to see sort of a higher -- cost plateauing at a higher level than we've been used in the last 12 months? Thank you.
Leon Binedell: As you pointed out, there are a number of factors that impact operating costs for us. Principally, those that were mentioned in terms of oil, gas and sulfur prices. At the same time, with the Cuban currency unification, other input costs and services and labor is partially offsetting those. And whilst we are exposed to some of those input commodity prices and there will be what they will be. We do anticipate that the impact of sales commodity prices for us will have a more significant benefit to the group. We have looked and will continue to look at opportunities to mitigate some of those input cost fluctuations. But at this stage we have not hedged any of those input costs.
Tony Robson: Okay. Thank you.
Operator: We have no further questions in queue. This concludes today's Q&A session. I would like to turn the call over to Mr. Leon Binedell for closing remarks.
Leon Binedell: Thank you, operator. And thank you everyone for joining us on our second quarter conference call today. It was an absolute pleasure to talk to you and look very much forward to talking to you at future quarters and other opportunities to engage with our shareholders. Thank you very much.
Operator: This concludes today's call. You may now disconnect.